Operator: Good day, everyone, and welcome to the MoneyGram International First Quarter 2014 Earnings Release Conference Call. Today's conference is being recorded. [Operator Instructions] It is now my pleasure to turn the floor over to your host, Eric Dutcher, Vice President of Investor Relations. Please go ahead.
Eric Dutcher: Thank you. Good morning, everyone, and welcome to our first quarter 2014 earnings call. With me today are Pam Patsley, Chairman and Chief Executive Officer; and Alex Holmes, Chief Financial Officer and Chief Operating Officer. Our earnings release and accompanying slides are on our website at moneygram.com. Please note that today's call is being recorded and some of the information you will hear contains forward-looking statements. Actual results or trends could differ materially from our forecasts or expectations. For more information, please refer to the risk factors as discussed on our Form 10-K for 2013. MoneyGram assumes no obligation to update any forward-looking statements. Our presentation also includes certain non-GAAP financial measures in an effort to provide additional information to investors. All non-GAAP measures have been reconciled to their related GAAP measures in accordance with the SEC rules. You will find reconciliation charts with our earnings release issued this morning and in the Form K submitted to the SEC. Now, I will turn the call over to Pam.
Pamela H. Patsley: Great. Good morning. Thank you. We had another great quarter, posting our 12th consecutive quarter of double-digit money transfer constant currency revenue growth and 42% growth in adjusted free cash flow. Money transfer transaction growth was impressive at 12% as U.S. outbound transactions continued their rapid pace and sends outside of the U.S. accelerated sequentially. Our U.S.-to-Mexico transaction growth of 31% is the sixth consecutive quarter of transaction growth in excess of 20%. I'm also proud of the consistently robust Self-service business with 54% transaction growth and 35% revenue growth in the quarter. We are executing extremely well in a dynamic industry, building relevant products with a strong brand that is trusted by agents and consumers around the world. The money transfer industry continues to grow in the mid-single digit range driven by population mobility, and migrants now represent nearly 1 in 7 people in the world according to the World Bank. We're proud of our diverse agent base worldwide. In the quarter, our agent locations grew 6% to 339,000, offsetting location expansion with network rationalization. We have always said that we are focused on targeting the right locations and we regularly call underperforming locations with an eye toward improved performance. We have a big pipeline of signings and are converting them into activations at a rapid pace. In this vein, we activated 1,000 locations in Africa and 900 locations on the Indian subcontinent during the quarter. Both regions are key growth areas for the company and represent markets where we have a great opportunity to grow our market share. In April, we've already added a net of 1,900 new locations to the MoneyGram network. Our marketing efforts during the quarter focused on building brand affinity among our global consumer audiences with sponsorships of top-tier sports events like the ICC Cricket T-20 World Cup in Bangladesh, the CONCACAF Champions League and multiple activations with Paris Saint-Germain and FC Dallas soccer team. Our self-service business had another excellent quarter. Channel revenue grew 35% and represented 7% of total money transfer revenue. MoneyGram Online transaction growth was 36%, with revenue growth of 26%. Our services are available online and through a mobile device in 10 countries and this channel continues to be our largest portion of self-service revenue. MoneyGram Online continued its successful customer-acquisition program, adding more than 150,000 new customers to the active customer base -- a 24% increase year-over-year. Recently, we announced a new relationship with virtual agent, PicomoPay, that will allow consumers to initiate MoneyGram money transfers funded through their PicomoPay Digital Wallet on Facebook. This will be the first global money transfer offering within social media. We're pleased that the service will launch next month. 40% of social media users have made a purchase after engaging with the brand on social media, so this is a great opportunity for us. Revenue from account deposit services doubled compared to last year. The new relationship we announced last quarter in Sri Lanka has performed above expectation. In the mobile space, we also announced an agreement in the quarter with HomeSend, a strategic business partnership between BICS and eServGlobal. The MoneyGram network will be integrated into their technology hub, which operates in 50 countries, and we'll be able to quickly connect to mobile network operators through this integration. We have a lot of exciting activities underway and a healthy pipeline for new services in kiosk, mobile and account deposit service channels through the rest of 2014 and beyond. We look forward to providing these convenient options to our ever-growing consumer base. U.S. outbound remittances represented 37% of total money transfer transactions and 30% of money transfer revenue for the quarter. Both transaction and revenue growth were strong at 18% and 16%, respectively. U.S.-to-Mexico continue to outpace the industry with 31% year-over-year transaction growth. We signed additional agent relationships in Mexico with InfoMex and Chedraui. Chedraui has operated retail stores in Mexico for nearly 100 years and has 200 locations countrywide. U.S. to the rest of Latin America was robust and we added new relationships in Central and South America. In Peru, we initiated services with Serpost, the country's postal network and a first-time provider of global remittances. Additionally, we expanded our relationship with Banco de Guayaquil, Ecuador's second-largest bank, to offer money transfer products at Bancos del Barrio's 1,000 correspondent locations. Both are examples of MoneyGram helping financial institutions in South America with financial inclusion initiative. U.S. to Africa generated solid quarterly results, while U.S. to Asia-Pacific and the Indian subcontinent results were mixed. Overall, our U.S. outbound results have been fantastic and our online channel has been strong. Since originating outside of the U.S. improved sequentially, transaction growth accelerated to 11% from 8% in the fourth quarter, while revenue growth accelerated to 10%. Weakness in Southern Europe, particularly Italy, was offset by strong results in the U.K., Africa, the Middle East and Central America. The U.K.'s strong results came from our online channel, our retail network and the UK post locations. We were pleased to renew our long-standing relationship with The Post Office, which serves 18 million people per week in over 11,000 locations. The UK Post has been a MoneyGram agent since 1997. As mentioned, Southern Europe, especially Italy, declined again this quarter related to location closures and company-imposed compliance restrictions. The Greek economy continues to be challenged, but we did see growth in constant currency revenue this quarter. We also renewed our contract with ACS Courier, a private courier and postal service with 250 locations. Spain transaction growth accelerated from the fourth quarter, primarily driven by our retail network but we still aren't seeing constant currency revenue growth due to quarter mix and pricing initiatives. Eastern Europe continues to be a very dynamic growth area and we had another good quarter, including the launch of MoneyGram services in Slovakia and Montenegro. In Romania, we extended our contract with Alpha Bank at over 200 locations. We also have MoneyGram offices, employees and many agent locations in Russia and Ukraine, where we're certainly monitoring the geopolitical situation closely. These businesses both continued to grow despite political upheaval in the region. We are just cracking the surface in these countries, so combined, they do not yet represent 1% of money transfer revenue. This represents a great opportunity long term for MoneyGram. We're also excited about our growth in the Middle East. We went live with Emirates International Exchange in the U.A.E., which was a competitive takeaway. This is an important win that adds to our momentum in the region. Looking further east, we had a solid quarter in Asia Pacific. We signed a new agreement with an agent in the Jingmin region of China with great coverage in rural areas. We also renewed our agreement with Banco de Oro, the largest bank in the Philippines. The contract includes 1,200 locations for cash payout and account deposit services. Singapore sends continued to be strong and transactions have doubled since first quarter last year. In Africa, we continued to expand our network. We signed Bank of Africa, a multi-country bank, to provide services in 8 countries with a total of 250 branches. Recently, there have been some very public negative statements about the cost of sending money to Africa being too high and purporting it to be about 12% of face value. I'd like to point out that our global average cost to send to Africa is 5% of face value. That is the fee we charge to consumers on average. This is the in line with the G8 goal to provide affordable remittance services to underdeveloped areas. We're proud of the fact that we enable remittances to Africa supporting the GDP of the local countries. We also provide a vital revenue stream to our African agent partners who employ Africans in local markets. Growing our market share outside of the U.S. remains our single largest opportunity. During the quarter, transactions grew in 22 of our top 25 receive markets around world. I think that's a powerful testament to our team and it's worth repeating that our total money transfer business delivered yet another consecutive quarter of double-digit money transfer transaction and constant currency revenue growth. In the quarter, U.S.-to-U.S. sends represent 29% of money transfer transactions and 27% of revenue. Revenue growth of 9% and transaction growth of 7% was consistent with the past several quarters. Excluding Walmart-to-Walmart transactions, the U.S.-to-U.S. revenue grew 14% over the prior year, demonstrating the increasing strength of both our online send channel and our extensive 35,000 U.S. locations outside of Walmart. In the quarter, Walmart-to-Walmart sends represented 12% of total company revenue and 9% of total company revenue less commissions. As you know, 5 days ago, Walmart launched a new white label service for sends under $900 and we're monitoring its product's performance. That said, due to the limited time the product has been in the market, it's still too early to say what the cannibalization factor or competitive price environment will be for our U.S.-to-U.S. business. In characterizing the potential impact, it's important to consider that the average principal of a U.S.-to-U.S. transaction is around $170. The new competitive pricing for the $0 to $50 band is only $0.25 less than our current product at Walmart, and the $50 to $200 price band is only $2 less than our current product. Collectively, the $0 to $200 bands at Walmart represent just a little over 3/4 of our total Walmart-to-Walmart transactions. In pricing bands from $200 up to $900, the price differential gets increasingly greater, though there are far fewer of these transactions. So while we do not know exactly how this will play out, we do anticipate that there will be some cannibalization of our current product offering. Accordingly, we've initiated an accelerated cost-reduction program and we're taking a hard look at all of the levers we can pull to mitigate negative revenue impact and any bottom line or margin impact. We will continue to take necessary steps to strengthen our brand ties with our loyal consumer base, emphasizing our core brand values of speed, convenience and trust. Further, we've strengthened our emphasis on growing our U.S. outbound, as well as sends originated outside of the U.S. As a global diversified company, we're taking a fresh review of other market where we can initiate strategic actions to accelerate our growth plans. As I said on April 17, we're taking a disciplined approach to ensure that we respond appropriately to maximize long-term shareholder value. On this point, I think our track record is quite good. We will continue to monitor the new product and competitive responses closely. So again, it bears repeating, as we said 10 days ago, we were surprised by the timing and scope and the product definition, but Walmart has had the right to offer a white label product however they choose to offer it, in whatever bands at whatever price, higher or lower, they've had that right since last July. So we now compete for U.S.-to-U.S., Walmart-to-Walmart sends $900 and lower and we continue to work together closely on many other initiatives. U.S. outbound, our dot-com business, delivery method, bill pay and money orders, just to name a few. Walmart cares about the consumer and MoneyGram cares about the consumer, and it is this common bond that has fueled our successful relationship for the past 14 years. We remain focused on the long-term success of MoneyGram, both inside and outside of Walmart, and we're very motivated and very focused on protecting our business for both consumers and our global agent network. There's no question, we have a new challenge for our U.S. to U.S. business, but we faced challenges in the past and achieved success. And it is with this same commitment to success that we will utilize all the assets of MoneyGram to overcome this new challenge as well. We have a great track record, including growing twice the industry growth rate last year. With that, I'll let Alex take you through the financials.
W. Alexander Holmes: Thank you, Pam. It was a very good quarter, so let's take a look at the details. In the first quarter, total revenues increased a robust 10% to $374.9 million. This was led by the strength of our money transfer business, which saw a revenue increase of 11% on a reported basis and 10% on a constant-currency basis. Investment revenue was strong at $7.2 million as a result of onetime returns on legacy portfolio investments and higher returns on investable balances. For the quarter, net income was $39 million, up $51.6 million from the prior year, and diluted earnings per share was $0.54. Please note that our EPS calculation is stated here on a reported basis and utilizes our outstanding share count at the end of the first quarter of 71.9 million diluted shares outstanding. Net income was impacted by compliance-enhancement program costs of $7.1 million, reorganization and restructuring costs of $3.1 million and direct monitor costs of $800,000. Net income was also impacted by stock-based compensation costs of $3.5 million, legal expenses of $1.1 million related to the recent capital transaction and $400,000 for certain other legal matters. As you know, on April 2, we repurchased 8.2 million shares of common stock from our sponsor owners. On a pro forma basis, this had the effect of not only reducing our diluted shares outstanding to 63.7 million shares, but also provided meaningful accretion to our earnings in the quarter of $0.04 per share on a pro forma-adjusted basis. So if we utilize our pro forma diluted share count and take into account the after-tax effect of the items that impacted net income, pro forma adjusted earnings per share in the quarter was a very solid $0.41. Adjusted EBITDA was $77.9 million, up 8% as reported and 6% on a constant-currency basis compared to the prior year. Adjusted EBITDA margin improved sequentially by 100 basis points to 20.8%, though down about 40 basis points compared to the prior year. This was primarily related to increased commission compliance and marketing expense. We were very pleased with our margin performance, especially considering these factors. Total commissions expense increased 11%, consistent with revenue growth, driven by faster growth in higher commission corridors and the previously disclosed increased commission rate related to a key agent, which in April, we have now left. As previously stated, we anticipated that our money transfer commission rate would increase slightly in 2014, but would fluctuate by quarter. During the quarter, total reported operating expense increased 14% over the prior year, in part, driven by increased investments for our global transformation program. On an adjusted basis, total operating expenses increased 11%. Compensation costs increased 6% on the quarter on a reported basis as a result approximately $3.2 million of increased cost for global transformation activities. On an adjusted basis, compensation and benefits costs increased only 3% and represented 16.8% of revenue, a decrease of 60 basis points on a year-over-year basis. First quarter transaction operations support costs were $71.3 million, which included approximately $7.8 million of expense related to the global transformation activities and direct monitor costs. Excluding adjusted items, transaction and operations support costs as a percentage of revenue decreased 190 basis points on a sequential-quarter basis to 16.5% of revenue. Clearly, demonstrating strong operating leverage in the quarter. Depreciation and amortization expense increased $1.3 million to $13.1 million, while interest expense was $9.7 million, a decrease of $7.7 million compared to the prior year quarter. Book income tax benefit for the quarter was $11.7 million, largely due to a reduction of a liability associated with an uncertain tax position. Now as outlined on our fourth quarter call, we said 2014 will be a year of increased investment for our global transformation program. To implement our compliance enhancement program, we said that we expected to invest $80 million to $90 million in cash over the next 3 years for the project with about half of the outlays in the form of onetime expense and the other half in capitalized expenditures. In the first quarter, we incurred total cash outlays of $10.5 million, comprised of operating expense of $7.1 million and capital expenditures of $3.4 million. With respect to the operating expense, we recorded $6.2 million in our T&O line, primarily related to contractor and consultant expense for systems and process redesign, and we recorded the remaining $900,000 in our compensation and benefits line. We continue to make great progress in our efforts to transform to a state-of-the-art compliance program and systems and remain on plan to deliver to the monitor's timeline. In addition to the compliance enhancement program, we said we anticipated incurring $30 million to $40 million in cash outlays over the next 2 years for reorganization and restructuring activities that will generate annualized pretax cost savings of approximately $15 million to $20 million on a run rate basis exiting 2015. In the first quarter, we incurred total expenses of $3.1 million. These costs were recorded primarily in the comp and benefit line to cover the severance cost of $2.3 million and the remaining $800,000 went to the T&O line for contractor and temporary labor costs. While the decision to reduce the size of our workforce is never an easy one or something that we take lightly, we believe these steps are necessary to allow for a more flexible and lower-cost infrastructure as we go forward. Adjusted free cash flow for the quarter increased a very strong 42% to $46.7 million on the strength of solid-adjusted EBITDA, lower cash interest expense and minimal signing bonus payments, partially offset by increased capital expenditures of $17.1 million. Signing bonuses for the quarter came in at the low end of our outlook, mostly related to the timing of certain payments. We ended the quarter with assets in excess of payment service obligations at a very strong $330 million, up from $319 million at the end of the fourth quarter. While speaking of AEPSO, we are excited to have reached a settlement last week on one of our legacy CDO matters. MoneyGram and Goldman Sachs agreed to settle all pending and potential litigation or arbitration concerning any residential mortgage-backed securities or mortgage-related collateralized debt obligations sold to MoneyGram during the 2003 to June 30, 2008 time frame. Goldman Sachs has agreed to make a onetime payment net of fees and certain expenses to MoneyGram in the amount of $13 million and to make a onetime payment of fees and expenses to Moneygram's legal counsel in the amount of $4.25 million. This resolution will include terminating the litigation and arbitration between MoneyGram and Goldman Sachs that has been previously disclosed. This $13 million payment is not in our recorded income statement or AEPSO numbers for this quarter, meaning the first quarter, though it will be included in our second quarter figures. Outstanding debt principal at the end of the quarter was $841.5 million. In April, we increased our outstanding debt by $130 million to complete the share repurchase with terms that are unchanged from our existing term loan. On a pro forma basis, we have outstanding debt principal of $971.5 million. For the remainder of 2014, we anticipate our interest expense to increase on a cash basis by only $4.2 million or by $1.4 million per quarter. From a leverage perspective, we are very comfortable at a level of 3.2x adjusted EBITDA post our new debt issuance, which gives us substantial cushion to our total secured leverage covenant ratio of 5x adjusted EBITDA. In conjunction with the term debt offering, we also increased our undrawn revolver capacity to $150 million from $125 million previously. This, coupled with $330 million of assets in excess of PSOs, provides us with ample liquidity as we move forward. Turning to the segments. For the quarter, total revenue for the Global Funds Transfer segment increased 10% to $351.7 million, led by strong money transfer constant currency revenue growth of 10%. Bill payment represented 7% of total revenue. Bill payment transactions were flat with a 2% revenue decline. The trend for both transactions and revenue is improving and our Bill Payment business remains an important part of our U.S. service offering. Self-service and Bill Pay grew 21%, now representing 5% of our total bill payment revenue. The segment reported operating income of $31.5 million and an operating margin of 9%. On an adjusted basis, operating margin was 12.6% in the quarter, down from 14.5% in the prior year due to higher commissions, compliance and marketing expense. The Financial Paper Products segment continues to perform well. As anticipated, transaction declined with market conditions, but our average ticket size increased and solid portfolio management has helped increase returns. But onetime returns on legacy investments have also helped to bring value to our bottom line. Total revenue for the quarter was $23.2 million, up 17% compared to the prior year. Operating income was $9.8 million, up 42% from the first quarter of 2013. Operating margin was 42.2%, and adjusted operating margin was 46.6%. Now let's discuss our 2014 outlook. While first quarter results were strong and in line with our full year forecast, we are revising our 2014 outlook due to the recently introduced Walmart-to-Walmart white label product. Because of the limited time the competing product has been in the market, it remains uncertain as to what the cannibalization effect or competitive price environment will be in the U.S.-to-U.S. business. In an effort to mitigate any potential negative impact, we have initiated an accelerated cost-reduction program along with a strengthened emphasis on growing our U.S. outbound sends and sends originated outside of the U.S. Considering these factors, we now estimate full year constant currency revenue growth to be in the range of 1% to 3%, and full year constant currency adjusted EBITDA growth to be in the range of 0% to 2%. Now let me turn it back to Pam.
Pamela H. Patsley: Great. Thanks, Alex. Over the past 5 years, we have diversified our business and grown rapidly in new markets and channels. Today, MoneyGram consumers can send to more than 200 countries and territories and we have tremendous expansion opportunities within each region. In addition to geographic growth, we have increased our focus on channel diversification with a particular emphasis on self-service. The value-creating components of our business are not diminished by a Walmart white label product. As we have said before, competition challenges us to sharpen our skills to apply our unique assets in a new way. We serve the world's largest and fastest-growing population with the brand which is associated with convenience, speed and trust in over 200 countries and it's most often a link to financial security for loved ones. We're one of less than a handful of companies with a global settlement engine able to operate in a complex compliance environment through today, over 339,000 locations. There's no question that revising guidance is not what we want to be doing. It's a difficult message to everyone and it's very early days. However, the value of MoneyGram should not be defined solely by the uncertainty in our U.S.-to-U.S. business. I'm confident in our long-term growth and the ability of this team to succeed. We are still focused on our 2017 target of $2 billion in revenue with 15% to 20% of money transfer revenue from self-service products. In closing, I'd like to take a moment to thank our employees, our agents and their employees for their dedication to MoneyGram. Together, we provide a compelling product or service offering in a competitive, free market environment alongside our agent partners. We also offer a valuable revenue stream to businesses, large and small, creating jobs globally. We will continue to leverage all of our strategic assets to maximize shareholder value. Thank you, as always, for your interest in MoneyGram. And I'll now turn it over to the operator and we'll open it up for questions.
Operator: [Operator Instructions] We'll have our first question from Tim Willi, Wells Fargo.
Timothy W. Willi - Wells Fargo Securities, LLC, Research Division: A couple of questions. First, if I can just go back to the guidance, could you talk about any color around the lower revenue guidance and the impact from pricing versus your assumptions around transaction volumes and how you guys might be thinking about that? And then like any offset you might see from accelerating focus in certain non-U.S. business for the balance of the year. Some puts and takes, if you could?
Pamela H. Patsley: Yes. Well, I think, Tim, you certainly categorize all the things and elements that we have to consider when coming up with this new guidance, because there's a lot of puts and takes and there is no question, there is some guess work right now because it really is early days. We don't know how it will all play out. But it will definitely be a mix of pulling some levers perhaps on pricing and accelerating investment and some growth in other categories. I don't think though, at this point, we can get any more granular than that.
Timothy W. Willi - Wells Fargo Securities, LLC, Research Division: And then one more follow-up on guidance and a question on online and then I'll let somebody else. Just on your comments around the accelerated expense reduction that you talk about. Is that just accelerating what you had outlined in the prior call? Is there incremental expense you have identified as you sort of thought about the guidance and the Walmart-to-Walmart product, et cetera? I just want to clarify if there's any new pool of money you've found on the expense side?
Pamela H. Patsley: Yes, no, it is new that we are going to find and that we've already worked on the last 7 days in earnest, most definitely. So we want to try and remain true to -- and very transparent in our communication to you all. What we said in February, how we outlined our global transformation program, the enhanced compliance undertaking, the investment in self-service channel and the reorg and restructure. This is now -- this new cost take-out initiative, has come about the last, shall we say 10 days, and is another turn of the screw, if you will, and is a new program. Alex, I don't know if you want to add anything to that.
W. Alexander Holmes: No. I think that covers most of the thought process going into that.
Timothy W. Willi - Wells Fargo Securities, LLC, Research Division: Okay. Great. And the last question on Online. Any color or thoughts you have around the pricing environment there in terms of seeing pricing stabilize and then, any color on retention of people and sort of repeat usage. I know those have been pretty encouraging statistics. I don't think we've revisited them at least for a quarter or two that I could remember. So just want to get an update there.
Pamela H. Patsley: Yes, we are very encouraged by what I called out in terms of 24% growth for new active customers in our online channel this quarter. And there's no question, the measure of productivity as with all things, is frequency and repeat usage. So we're trying a number of initiatives. We know what the win is and we're very focused on it. As regards to pricing, I'll look to Alex, I don't know if you want to add.
W. Alexander Holmes: Sure. I think there's -- we continue to see a lot of headline promo pricing when you dig into the details that those tend to fade fairly quickly, there's a lot of kind of register, get the free giveaway, those types of activities going on. But I think from core pricing within the bands, it looks pretty good.
Operator: We'll go next to Kevin McVeigh, Macquarie.
Kevin D. McVeigh - Macquarie Research: I wonder if you could give us -- on kind of the cost reduction. Tim, are you thinking about any kind of base level of earnings you should think about, cost reduction versus -- and I know it's very tough, given all the moving parts, but if you were to layer-in the buyback as well to kind of offset some of the moving parts around Walmart, is it kind of a three-pronged strategy around cost reduction, buyback and then ultimately additional revenue from other sources?
W. Alexander Holmes: Well, I think -- Kevin, this is Alex, and Pam's coming after. The buyback is restricted to sponsor buybacks. And so that you know there is no ability to do the public buybacks at this point in time to really support the stock from that perspective. I think when you come back to the cost reduction efforts, the positive side of the announcement here on the competitive service, is that it is early in the year. We have a large, addressable expense base, that has discretionary items in it, which are oftentimes more for investments that we want to do in areas of growth that we think are important. And those are things that we can pull back on and I think they're designed that way in any competitive environment, whether it's a large competitive product like this or just general malaise in the market and those kinds of things. We do have quite a few variable costs that we can change and those are the levers that we'll be pulling in addition to the long-term structural changes, which we laid out for you in February, but we're also, as Pam said, looking to accelerate those and seeing what other levers we can pull in that area as well to really maximize that over a longer period of time.
Kevin D. McVeigh - Macquarie Research: Got it. And then just -- so the $13 million with the Goldman settlement, how does that layer into the guidance? And does that give you a little more cushion as you think about Walmart over the balance of the year?
Pamela H. Patsley: That is, I guess, not really factored in because of where it will show up in the income statement and our guidance is on constant currency adjusted EBITDA. So it's cash and we like cash.
W. Alexander Holmes: Yes, we have a portfolio of legacy investments, which we've held on to, and those come through once in a while. They're hard to predict. And in the quarter, we had about $4 million of that, and that flows through kind of our normalized investment income. On these litigation matters, we tend to categorize those in securities gains and losses, which is a line that appears on the income statement when those occur, and that's usually below the line. So we'll obviously help net income but from kind of our measurement on adjusted EBITDA, it gets adjusted out of that.
Operator: We'll go next to Sara Gubins with Bank of America Merrill Lynch.
Sara Gubins - BofA Merrill Lynch, Research Division: Regarding the updated guidance, what are your assumptions on money transfer volume trends for the rest of the year?
Pamela H. Patsley: We did not specifically provide that and we actually haven't ever really given money transfer transaction guidance, Sara. I think you know you've heard us just kind of talk, we go for double-digit this and double-digit that, but that wasn't to a specific guidance or outlook number. So those segments like U.S. outbound, sends originating outside the U.S., self-service volume growth, those things were flat out all about growth.
Sara Gubins - BofA Merrill Lynch, Research Division: Okay. You maintained the longer-term $2 billion revenue growth for 2017 in spite of the changes at Walmart. Is that -- is your comfort in still targeting that around not expecting to lose as much around Walmart or is the thought that you'll really be able to ramp up U.S. outbound and international-to-international in order to make up for that?
Pamela H. Patsley: Yes. I think it really nets out to it's just too early to tell precisely how we'll get there. Just as when we put the $2 billion out there in February, we didn't necessarily have, this much is coming from here and this much from there to a certain granularity. I think it's in talking with the team and the management group. It's way too early to say we want to move off of that. I mean, this is what the team wants to go do. We think we have the brand and the strength and the core competencies, capabilities, set of assets to go do it. And it's too early to back down from that. So it's all about long-term options for growth.
Sara Gubins - BofA Merrill Lynch, Research Division: Okay. Is there anything that would preclude Walmart from working with another partner internationally or for Online?
Pamela H. Patsley: Walmart Online has always had another partner. In fact, Xoom was there before MoneyGram for U.S. outbound on the dot-com, and I think we just saw that they are going to be, I don't know what we call it, decommissioning that service or whatever. We're still there. So they have that ability on dot-com. The Walmart stores outside the U.S. all have separate contracts, if that's what you're asking. We have a contract with Walmart Mexico, a competitor of ours has a contract with Walmart in Canada, many of the stores outside the U.S. don't offer money transfer service.
Sara Gubins - BofA Merrill Lynch, Research Division: Okay. And Walmart U.S. outbound -- so outbound to international?
Pamela H. Patsley: No. The contract allows for a white label on U.S. to U.S, Walmart to Walmart.
Sara Gubins - BofA Merrill Lynch, Research Division: Okay. But not U.S.-international?
Pamela H. Patsley: Correct.
Sara Gubins - BofA Merrill Lynch, Research Division: Got it. Okay. And then just last question, still on that topic. Have you been in discussions with your agents regarding the change at Walmart and what are their initial thoughts? And do you have any concerns about potentially moving agents to Ria as a result of this?
Pamela H. Patsley: We have been in discussions, and I think we feel very, very good about the strength of our relationship with our agents. I think they very much appreciate our approach. They see this somewhat analogous to some pricing initiatives by another competitor in the fall of 2012. I think they really valued our very measured approach and not doing any knee jerk reaction. And U.S. to U.S. for many of our agents is a much, much smaller part of their business. So...
Operator: We'll go next to Smitti Srethapramote with Morgan Stanley.
Smittipon Srethapramote - Morgan Stanley, Research Division: Can you help us think about renewal of the Walmart contract that is up for renewal in April of 2012?
Pamela H. Patsley: I'm sorry...
W. Alexander Holmes: [indiscernible] think about it?
Smittipon Srethapramote - Morgan Stanley, Research Division: Yes. Should we expect that you will continue to be able to extend your contract when it comes up for negotiation?
Pamela H. Patsley: I'm not sure I understood the 2012, what...
Smittipon Srethapramote - Morgan Stanley, Research Division: I'm sorry, 2016, 2016.
Pamela H. Patsley: Okay. You threw me on, I'm like, "okay, wait. Where am I?" We work every day very closely with Walmart, and as I think you all have heard me say, I know they've heard the team here, we want to earn their business each and every day through every interaction with them. And we have a great relationship, look at what's been built together and that's the way we approached it before and that's the way we're approaching it now.
Smittipon Srethapramote - Morgan Stanley, Research Division: Got it. And you mentioned a strengthened emphasis on growing U.S. outbound sends. Can you talk more about how you'll drive that either with marketing or investment in agent locations or through other means?
Pamela H. Patsley: Yes. It's really going to be a combination of that. It's continued marketing, identification of quarters. I mean, it's not just U.S. to 199 or 200-plus countries. It's about picking quarters, picking parts of the U.S. where we focus on certain quarters, other parts of the U.S. where the diaspora says you need to focus on another part of the world. So it's marketing, it's strategic agent locations, it's product diversification, it's account to deposit, it's how we leverage our mobile capability, our mobile wallet capability, and the variety of ways that people can send with MoneyGram. So it's -- I don't know, it's kind of a cube, at least, maybe it's even a polyhedron in terms of all the size and what we bring to bear for that equation.
Operator: We'll go next to Glenn Fodor, Autonomous Research.
Glenn T. Fodor - Autonomous Research LLP: Just getting back to the top line revenue adjustment. I mean, I know this a -- kind of a black hole and very uncertain. But I mean, if there is such a small price differential on most of the volume, what really is leading to the big cut in revenues?
Pamela H. Patsley: Well, because there is a big price difference on some of the volume and we just aren't sure what the impact is going to be to the consumer. And we're not sure what else we might choose to do to preserve our relationship with consumers and to grow our business.
W. Alexander Holmes: Yes. And when we consider, as well, the competitive nature of Canada pricing, we also take a look at outside of Walmart as well, the entire [indiscernible] U.S.-to-U.S. business and how the price differential is going to affect the entire network. So when you kind of look at it more holistically, it kind of expands the field there.
Glenn T. Fodor - Autonomous Research LLP: Okay. Fair enough. And then on the cost-reduction program, I mean, when you -- over the last 10 days, when you looked at what you could go after, I mean is a lion's share of it support costs for Walmart or is it just general stuff. I don't know if you covered that. Sorry, if you did.
Pamela H. Patsley: No. We didn't go into specifics. But I would say, if those are the 2 choices how to answer, it will be more general stuff. There will definitely be some direct costs or variable costs that are tied to volume. So to the extent there's cannibalization, I think we've been very open to say that U.S. to U.S. business skews high on consumer fraud. We will -- to the extent those are not our transactions, they won't be running through MoneyGram's AFA system or anti-fraud alert system. They will be someone else's responsibility. They will be someone else's responsibility for aggregation, for reporting, filing things. So there are definitely some variable costs that go away with some volume decline. As opposed to just generic support costs, that would not be the lion's share of that in terms of what's directly tied to Walmart, but in a broader bucket.
Glenn T. Fodor - Autonomous Research LLP: But obviously that could be the next target once Walmart does decline and then you've turned your efforts there, once you know what you're up against, is it fair to say?
Pamela H. Patsley: Well, I think we will adjust the cost take-outs as things play out. But like I said, we have a very big and ongoing business with Walmart and I want to also say, we're not like writing off that we don't want to do any more U.S.-to-U.S. business with Walmart, not by any stretch of the imagination. So, it's going to be kind of -- this is the finesse part of business. We want to make cuts. When you have to make more aggressive cuts than you otherwise planned, you just want to not cut too close to the muscle and we certainly don't want to eliminate future growth opportunity, but everybody is going to have to tighten the belt and do more with less.
Glenn T. Fodor - Autonomous Research LLP: Okay. And then just last one, just shifting gears, something more current. The PicomoPay announcement is interesting. Could you just give a sense of a deal process here and how much of that negotiation was you working with Facebook versus with PicomoPay?
Pamela H. Patsley: It's a relationship with PicomoPay and I would say from a deal process, we have a group of folks around the world that are focused in our product group and also even in the regions, they turn up a lot of these opportunities and we work together, we collaborate between departments, between disciplines and geographies. But everyone squarely understands the tremendous opportunity that is before us with expanding our self-service options. And this could not be more down the middle of the plate in that regard.
Operator: We'll go next to Mike Grondahl, Piper Jaffray.
Michael J. Grondahl - Piper Jaffray Companies, Research Division: Concerning your new goal or new program, did you give a goal for total cost cuts or a range that you would hope to achieve?
W. Alexander Holmes: On the initial restructuring of the reorganization targets that we gave back in February, those stayed at $15 million to $20 million of annualized run rate savings exiting $15 million. At this point in time, we are looking at a variety of opportunities to accelerate that and right now we're trying to balance obviously long-term savings with cost to implement. So we haven't updated that yet, but certainly will, when and if appropriate. With the other cost savings, again, they are more directly related to our current operating budget and forecast for 2014 and that's more, as Pam said, kind of tightening the belt and doing more with less and looking at discretionary spending opportunities and where we can reduce costs internally.
Michael J. Grondahl - Piper Jaffray Companies, Research Division: Okay. And then do you plan on being more aggressive in the U.S. in sort of recruiting agents for outbound business?
Pamela H. Patsley: I would say we plan to continue to be very strategic and that's looking at geographies not just in the U.S., but also diversity of our agent base to fill out quarters where some quarters, U.S. outbound, we are so small and so we need geography and class of trade, if you will, category of agents. So we are going to continue to be very, very strategic. At the same time, I think large retailers are very attracted to MoneyGram's proposition and so, those have always been prospects for us.
Michael J. Grondahl - Piper Jaffray Companies, Research Division: Okay. And then maybe just lastly, I don't know if you answered this in the earlier question, but you bought back about 8 million shares of stock recently at higher prices. Could you kind of talk about your appetite today for that additional 8 million shares?
W. Alexander Holmes: Well, again, the appetite is always here. I think that right now, on the restrictions on the buybacks are related to purchases from sponsors. I think obviously at current prices and prices where we bought before and upwards, I believe we ran the model before, I think buybacks are accretive up to -- I don't know, $30, $40 depending on what -- how you kind of look at it. So I think it's obviously a great use of capital. I think you have to balance that kind of with cash on-hand and debt and a variety of other things going on within the business. Again, we are restricted to sponsor buybacks at this point in time. But obviously, longer term, I think buybacks are a great way to support shareholder value.
Operator: We'll go next to Ryan Davis, Crédit Suisse.
Ryan Davis - Crédit Suisse AG, Research Division: I just wanted to go over the -- and I know you covered this a little bit. But the $2 billion in 2017, and it it's helpful kind of just how it's your rallying cry, but I mean reaffirming that, I guess, it's like a huge acceleration in business and I guess can you help me understand where these bodies are coming from? I understand that it means a 15% to 20% of the self-service is still there. So I guess, where are these bodies coming from in the storefront?
Pamela H. Patsley: I'm not sure I fully understand the body's aspect of your question, but let me be clear. The $2 billion is not official guidance, it's not official outlook, it is being very open and sharing with you what this team still wants to have in front of us as a goal that we want to organize and work toward achieving. I think the growth -- and again, I'm not totally sure I understand, but it is fueled by the fact that cross-border remittances are growing and projected to continue to grow over that time period in the mid-single digits by the World Bank. MoneyGram, as I had said, in 2013, grew twice what the World Bank reported. We have 5%, a little more than that, market share globally. And so there is just a tremendous amount of whitespace for us to continue to gain share. The market or addressable market continues to grow with product differentiation, with bringing online and mobile and account deposit to bear and I think squarely complementing our desire to get to that $2 billion is our focus also in the self-service channel and bringing to our agent not just a cash-to-cash and a face-to-face solution, but also bringing to our agents more product diversity through some of these self-service offerings as well. So all of those factors kind of go in the mix.
Ryan Davis - Crédit Suisse AG, Research Division: Okay. I mean, I guess it just seems like you're being conservative with the Walmart revenue coming out this year, but it sounds like -- sort of confident [ph] again to the $2 billion. I was just trying to put the 2 together. Could you give us a little more quantification in that line items on the new cost program you laid out earlier, Alex?
W. Alexander Holmes: Not yet. I mean, it is difficult. I will say, if you come back and look at the restructuring reorganization activity, that's about kind of right shoring and right sourcing of labor and locations. We are looking across a variety of our locations within the United States and beyond, looking at where we have back-office operation services, how we -- current service and support, all of our calls, call center volume, IT infrastructure, broad operations and the lot. So that is kind of a focus on facilities rationalization, headcount rationalization, sourcing, et cetera, and those are kind of ongoing programs. I think that the scope of that restructuring program had a focus on a certain subset of the business, given kind of the news and the potential impact that the white label service could have on the business. We are looking at that restructuring activity and seeing if there are other areas that should also be concluded that we previously had not included in this kind of round of restructuring and reorganization. So it's too early to kind of give more color on that. I think by the end of our second quarter we'll have our hands around exactly what we want to do there and the potential long-term benefits of those activities. With respect to current activities, you can expect probably a reduction in costs across kind of the T&O line. We'll be looking at all of our discretionary expenses across things like T&E, contractor expenses, comp and benes, out-service processing. A variety of these cost that kind of flow through, things that support transaction operations, also things that are more discretionary on the investment side. Some of our capital project spend, some of the outlays for -- again, not kind of core, but more discretionary growth initiatives and these types of things that are not critical path items, things that we want to do and need to do but can be deferred for a period of time. And some of those could be that we're touching the brakes rather than kind of putting a full stop on things and seeing how this plays out. Again, we did try to provide guidance to give certainty to an uncertain situation, when you stop back and look over the next 90 days, we'll learn more about how this is playing out and what we need to do.
Ryan Davis - Crédit Suisse AG, Research Division: Okay. And one quick follow-up and this is really just like a qualitative question. Was there anything anecdotally, you guys took away -- you said you're surprised or the Walmart announcement 5 days ago came to you, is there anything that you guys took away from that, that may be used tactfully with the international contract coming up, I think, the exclusivity going away sometime in the next 3 years?
Pamela H. Patsley: Yes. I'm not sure, again, precisely what the question is. I would say just for a few points of clarification on what you said. The product launched about 5 days ago. It was announced on the 17th when we also held a quick call with analysts and investors. I would say the takeaway is many things are continued business as usual. And for our U.S.-to-U.S. business, it's a lot of relooking at our efforts and ensuring that the MoneyGram brand is well protected and the consumer that chooses MoneyGram or that wants to choose MoneyGram continues to have that voice and that option. So we're -- all of things very much the same and in focus.
Operator: We'll go next to Bob Napoli, William Blair.
Robert P. Napoli - William Blair & Company L.L.C., Research Division: I've got a question on industry pricing. With the change that -- with the Walmart prices being reduced, and understanding that the price differentials in the lower bands are not that nearly as high much as they are over $200. But do you expect -- what do you expect out of industry pricing? Do you think that the industry in the U.S. will just say, "Okay, Walmart has some of the lowest prices, so what?" Walmart has admitted it's not going to adjust -- and not follow or do you think that there's going to be additional price cuts in the industry broadly.
Pamela H. Patsley: Yes. I would say, I would not be a good predictor of competitive moves based on empirical evidence. I think it's still very early days. I think consumer experience at the point of sale, I think it's just very early days and I think a measured and disciplined and cautious approach and an approach that protects -- everyone's going to be interested in protecting their brands and their consumer. So I can't imagine those wouldn't be the same variables others would consider as well.
Robert P. Napoli - William Blair & Company L.L.C., Research Division: Okay. You've seen nothing so far in its -- in your...
Pamela H. Patsley: Have not.
Robert P. Napoli - William Blair & Company L.L.C., Research Division: All right. Just on the -- your 2017 goals to achieve. In the past, you'd also said that you expect that your goal was to have higher margins than you do today. Any -- no change around that guidance or a "target" -- I'd say, not say "guidance," but do you still expect -- is it still the goal to have higher margins than you do today in 2017?
Pamela H. Patsley: Yes.
Robert P. Napoli - William Blair & Company L.L.C., Research Division: And the kiosk business, the online self-service, that's 15% to 20%. What -- or can you -- is it profitable today and what type of margins do you expect to be able to get off of that business?
W. Alexander Holmes: Yes. No, it's certainly profitable today and I think as we go forward, the interesting thing on kiosk is there's a variety of different ways to look at kiosks. You can look at it from a full-service kiosk or a staging kiosk, or kind of a hybrid, whether it's one that we own and deploy or whether it's one that's sort of leased through a third-party. So there's a variety of ways to look at it and I think the margin on that kind of skims all areas, but I would say that in the worst case scenario on kiosk, it's really the same margin as you get on the cash-to-cash business and in the best case, it's actually incremental margin to the current walk-in business. So we're pretty excited about the activity there. We have a lot in the pipeline and we're going to continue to focus on that and the growth opportunities around that and around the world.
Robert P. Napoli - William Blair & Company L.L.C., Research Division: Are you growing -- are you adding a lot more kiosk. The Nexxo acquisition that you made, are you adding more of those kiosks and are you updating the technology at all or is there any need to do so?
W. Alexander Holmes: There's no need to really update the technology at this point in time. I think we continue to find provide service providers for various kiosks around world. We are working on a variety of partnership opportunities with new agents and current agents on kiosks and I think you'll hear more about that in the next couple of quarters.
Robert P. Napoli - William Blair & Company L.L.C., Research Division: And then on Walmart Mexico, what percentage of your Mexico business is Walmart Mexico and how long is that contract in place?
Pamela H. Patsley: We haven't disclosed that. So because I'm -- and I'm -- whichever question you're asking, how much is Walmart Mexico of our receives in Mexico or how much is Walmart U.S. of U.S. to Mexico -- I mean, neither of which are disclosed. But -- and we have a contract in place in Mexico.
Robert P. Napoli - William Blair & Company L.L.C., Research Division: I mean is that -- is it a substantial proportion of your Mexico business or...?
Pamela H. Patsley: It's not our largest agent.
Robert P. Napoli - William Blair & Company L.L.C., Research Division: Okay. And then just last question on your tax rate. I mean you have this very high tax rate versus obviously Western Union and though you haven't been paying much in a way of taxes, you're getting to the point where you're going to be a taxpayer and, I guess perversely with the reduction of the Walmart-to-Walmart business that's in your highest tax market, what are your thoughts around getting that tax rate down substantially and just on mix of business, I would guess there would be downward pressure. Because right now, you're using I think a 41% tax rate?
W. Alexander Holmes: Yes. No, I think it's a great question, Bob, and the world of taxes and MoneyGram continues to be one of fascination for me. We have said longer term, we do see an opportunity to reduce our tax rate and take advantage of some of the kind of offshore setups that other companies have deployed, I think. We've been fortunate to be in the low cash tax paying position that we've been in for a while. Obviously, the ongoing litigation matter with the IRS has not been resolved yet. And so, there is, as you say, an insight to those losses that we carried forward. But at the same time, we continue to find other ways to maintain kind of a low cash tax rate. On the book taxes, it is around 40%. We'd like to get that down and we're taking a hard look at that. We have a new head of global tax that we just brought on. He's got some interesting ideas and we're going to be looking at that over the next couple of quarters.
Eric Dutcher: Operator, I think we've got time for one more question.
Operator: That will come from David Scharf, JMP Securities.
David M. Scharf - JMP Securities LLC, Research Division: First, Alex, a little more mundane, but can you quantify for me in the quarter what the, I guess, onetime returns were in the paper product area on the legacy business?
W. Alexander Holmes: Yes, about $4.3 million. It was a couple of different securities.
David M. Scharf - JMP Securities LLC, Research Division: Got it. That's a $4.3 million pretax gain?
W. Alexander Holmes: Yes.
David M. Scharf - JMP Securities LLC, Research Division: Got it. And Pam, just generally on the -- going forward, I guess, the renewed focus on U.S. outbound. You're obviously in over 200 countries now. You've been really successful in the last few years in moving into some agent relationships that formally had been exclusive to a competitor. When we hear the term kind of "U.S. outbound focus," I mean, should we be thinking in terms of just broad-based, stepped-up marketing expense, is it more -- should we be thinking more in terms of specific geographic focus. Can you just provide a little color on how to interpret the initiatives?
Pamela H. Patsley: Yes. So I would first say, I think it's fair to say it is now within more heightened focus, but this has been a very key tenement or pillar of our growth strategy for the last several years, because 2 quarters in a row now, 18% growth in U.S. outbound sends transactions. And so we want to continue to grow very, very aggressively. I think the focus is all about -- I think I previously kind of said, strategically looking at, by quarter, what class of trade do we need for our agent on both send and receive side, which service resonates best for that quarter, is it account deposit or home delivery or cash-to-cash or what really is the best product to promote for that quarter. And it's working with our agents. I mean, I don't want to take away how important our agents are in this, as well. And we have an amazing class and scope of agents here in the U.S. Large, small, single locations, thousands and thousands of chains and each are reaching a little bit different customer.
David M. Scharf - JMP Securities LLC, Research Division: Got it. No, that's helpful color. And then lastly...
Pamela H. Patsley: And you know, David, I mean the U.S. is the single largest outbound country for money transfer transactions, so the opportunity is vast.
David M. Scharf - JMP Securities LLC, Research Division: Right. Lastly, I just want to make sure I interpreted the guidance change correctly. The revenue reduction from the original 8% to 10% constant currency, I guess assuming that's basically for kind of 8 months of the white label product. If you annualize that reduced revenue, it seems to equate to, give or take, about 90% of the Walmart-to-Walmart domestic revenue based on the percentage, that 13% you gave us. Alex, I know you talked about you're looking at it holistically. I just want to make sure I interpret -- are you cautiously suggesting you lose 9 out of 10 transactions or is there a significant portion of the revenue reduction that is holistically taking in just overall domestic price reductions?
W. Alexander Holmes: That's a good question. We look at both cannibalization rates just kind of across-the-board. And again, these are kind of guesses and estimates based on what the pricing potential of the new product could do. And then we also look at what the impact of making price changes in various price bands in certain markets could be and I think when you run that together and you change all the factors, and I've heard this from a lot of you on various calls, you get a variety of different outcomes. I think the revenue side of this is really the hardest to predict at this point because, again, if things stay kind of isolated within Walmart, I think someone asked that question earlier then, you're dealing with a little bit of a different beast. I think if it goes out and there's competitive pricing, if you have to look at the broader network, then the impact, whether that cannibalization or price changes gets larger. And so, I think the revenue side is hard to predict. We certainly feel that kind of given where that guidance is, that amount of loss of revenue is something that can be mitigated through the expense reductions that we're looking at to some degree. And so, trying again to give some comfort level to what we think the bottom could be and setting a floor. And again, this is subject to time and we'll see how it plays out.
Pamela H. Patsley: I think that's it. And so, as always, thank you very much, everyone. Have a wonderful day. I appreciate it.
Operator: That concludes today's conference. Thank you for your participation.